Operator: Good afternoon, ladies and gentlemen. Welcome to WSP’s Fourth Quarter of 2016 Results Conference Call. I would now like to turn the meeting over to Isabelle Adjahi, Vice President, Investor Relations and Corporate Communications. Please go ahead, Ms. Adjahi.
Isabelle Adjahi: Thank you and good afternoon, everyone. Thanks for taking the time to join the call to discuss our Q4 and fiscal 2016 performance. We will make remarks that will be followed by a Q&A session. Joining me today are Alexandre L’Heureux, WSP’s President and CEO; and Bruno Roy, our CFO. Please note that we will be recording the call and that it will be posted on our website tomorrow. Before I turn the things over to Alexandre, I just wanted to mention that we may be making some forward-looking statements and that actual results could be different from those expressed or implied. And we undertake no obligation to update or revise any of these forward-looking statements. Alexandre?
Alexandre L’Heureux: Thank you, Isabelle, and good afternoon, everyone. As I sit here with you today to share our financial results, three highlights stand out for me. First, we posted strong global Q4 results with positive developments in terms of net revenue growth, adjusted EBITDA margin and backlog among others. Second, we met or exceeded all of our 2016 outlook key metrics, something we can be pleased of, given the volatile global economic landscape during the past 12 months. And finally, I am pleased to indicate that we are optimistic about 2017 with recent wins in Canada, the U.S., Europe and Asia. Overall, this all bodes well for fiscal 2017 and beyond. We will discuss all these points in more detail shortly. Let me start with few comments on our fourth quarter financial performance on which Bruno will further elaborate later during the call. For the fourth quarter, net revenues were $1.3 billion, up 6.4% year-over-year. Strong organic growth in net revenues at 4.5% on a constant currency basis and all reported segments with the exception of Canada delivered year-over-year constant currency growth. Adjusted EBITDA was $135.3 million with adjusted EBITDA margin reaching 10.2%, up from 9.9% last year. This margin expansion was driven by a focus on operational excellence, higher utilization rates, costs synergies and corporate cost containment measures. Our backlog reached its highest level ever. It stood at $5.7 billion representing approximately 10.1 months of revenues. Let me now move to our operational performance in fiscal 2016. Over the past 12 months, we have posted net revenue growth despite challenging conditions in certain regions and increased margin above 10% for the first time since the Parsons Brinckerhoff acquisition. We also posted all-time high net earrings. During the past year, we also acquired a company's adding 2,500 employees to our workforce thus expanding our geographical presence in South America and the Nordics was strengthening our expertise in the UK and Australia. All these acquisitions were financed using our balance sheet and they are expected to fuel continued growth. Let me take this opportunity to welcome all of our new colleagues to the WSP family. The year culminated with our decision to rebrand all of our operation worldwide as WSP effective May 10, 2017, the date of our EGM. United around one vision, one strategy and one brand, I am convinced that this will provide us with a unique opportunity to reengage with our employees and clients to discuss and explain our story, our ambitions and our capabilities, which we will continue to build as we progress in our journey to expand the state-of-the-art professional services firm. Taking a look at the performance of our different regions, Canada posted negative organic net revenue growth of 9.4% in 2016, a poor performance than originally forecasted at the beginning of the calendar year due in part to the continued sluggish economy in Western Canada and a slower than anticipated rollout of the federal government's infrastructure stimulus plan. On a positive note, trending in the right direction Q4 performance are negative 5.5% was up from negative 11% in the previous quarter. With an expanding pipeline of opportunities particularly in infrastructure sector, we expect further momentum and are cautiously optimistic about the long-term prospects in the Canadian market. The Americas operating segment posted strong 4.2% organic growth in net revenues for the year, stemming mainly from our U.S. operation. The rising U.S. transportation infrastructure market segment was the key driver for this operating segment in line with the continuing rollout of government fund and infrastructure project, particularly the fast track adopted in December 2016. This region delivered the highest adjusted EBITDA and adjusted EBITDA margin before global corporate costs of all of our segment for 2016. The pipeline of opportunities in the U.S. remains healthy. Across the ocean, the EMEA operating segment delivered organic net revenue growth of 2.6% for 2016 in line with our expectations. Public sector funded project in both the UK and Sweden provided the backdrop for the organic net revenue growth in the EMEA region. While Brexit continued to create some uncertainty, we delivered approximately 2% organic growth for the full-year in the UK. The recent acquisition of Mouchel provided additional expertise to meet expected market needs in the infrastructure sector. The integration process is going well and as planned today the UK public sector represented approximately 60% of our UK net revenues compared to 30% in 2012 at the time of the WSP combination. Continuing in EMEA and the Middle East, low energy prices continue to place a heavy strain on clients dependent on oil and gas revenues. As a consequence anticipated lower spending negatively impacted most of the region’s performance metrics for the entire year. Finally in South Africa, the winding down of the highly successful Medupi project is translating into lower revenues, impacting our performance in that region mostly in the second half of the year. Our APAC operating segment posted organic net revenues of 3.7% for the year. Looking specifically at Australia, an infrastructure driven recovery continued to build momentum. Our operation performed well, in what was one of the best years in recent history with organic net revenue growth of approximately 7%. Smaller sectors such as power, water and resources also had some notable wins which should positively contribute to our 2017 performance in the region. Our Asian operation remained challenged on the topline and delivered flat organic growth for the year. We had to contend with the challenging commercial property market specifically in mainland China. EBITDA expectations were met as cost containment measures were deployed to compensate for flat organic growth and net revenues. Globally, 2016 was a challenging, but nevertheless rewarding year as we strengthened our business around the globe, integrating and leveraging companies we acquired while transitioning to a new management team. I would like to thank all our leaders and employees for this outstanding performance and for their continued dedication. Let’s now look to 2017. We are entering the year with optimism. For the first time in our history, we were ranked as the number one in international design firm by ENR, and also received top-tier rankings in many sectors including number one in transportation and number three in buildings. We were also ranked first in MEP in the Council on Tall Buildings and Urban Habitat 2016 ranking which lists completed or under construction high-rise buildings around the world. This positioned us as a key expert in defining urban skylines. Furthermore, our recognized expertise has been translating into major project wins. In infrastructure, we have won a design mandate for the new Pensacola Bay Bridge in Florida and more recently have also won a design mandate for the Highway 427 extension P3 project in Canada. Our Mouchel team was also appointed on the Smart Motorways Program in the UK, to provide engineering and design services including operational assessments and traffic technology services for electronic signs and signals in the North of England. In rail, we were just appointed as the joint development partner for the Kuala Lumpur to Singapore High-Speed Rail project, a strategic project between the governments of Malaysia and Singapore. This project is one of the most significant and high profile project we have ever won in Asia. It is also a great example of global synergies as we would have not won the work without the support of our U.S., California High-Speed Rail and Middle East rail teams. Also in rail we are part of the team appointed by HS2 to work on the development of the high-speed line bridging North of Birmingham to Manchester and Leeds. The award was made after an 11 month competitive bidding process during which seven multinational bidders were invited to tender. For your info these win were not included in the year-end backlog with the exception of the Pensacola Bridge, as such it bodes very well for 2017 and beyond. Bruno will now review our fiscal 2016 financial results in more details and share our 2017 outlook. Bruno?
Bruno Roy: Thanks, Alex. Good afternoon, everyone. I'm pleased to share the results for the fourth quarter and fiscal year 2016. Our reportable segments with the exception of Canada have delivered year-on-year constant currency growth for both the quarter and full-year. For the fourth quarter, revenues and net revenues were $1.8 billion and $1.3 billion, a solid increase of 8.3% and 6.4% respectively. We posted global organic growth in net revenues of 4.5% on a constant currency basis in line with expectations. For the full-year, revenue and net revenues were $6.4 billion and $4.9 billion, up 5.2% and 9.1% respectively. Organic growth amounted to 1% on constant currency basis, while acquisitions accounted for 7.6% of the total growth. The main drag down on organic growth was Canada which posted negative organic net revenue growth of 9.4%. For the fourth quarter, adjusted EBITDA was $135.3 million, up $11.3 million or 9.1% while adjusted EBITDA margins reached 10.2% up from 9.9% last year. Full-year adjusted EBITDA was $499 million up 13%, while adjusted EBITDA margin crossed the 10% threshold as Alex mentioned earlier the 10.2% up from 9.8% in 2015. For the quarter, our effective tax rate was 15.2% particularly low, mostly reflecting the impact of foreign tax rate differences, and favorable adjustment for prior years. Full-year effective rate was 25.2% more in line with expectations. For the quarter, adjusted net earnings were $68.8 million or $0.68 per share, up 112% and 106% respectively. Full-year there were $223.7 million or $2.22 per share, up 29.5% and 18.7% respectively, a significant improvement for both metrics. Note that this adjusted figure excludes acquisition and integration costs and the income tax effects related to those costs. Our backlog reached its highest level ever it stood up at $5.7 billion representing approximately 10.1 months of revenues up $297.6 million or 5.5% compared to last quarter. On a constant currency basis organic backlog growth was approximately 1% year-over-year aligning with topline growth. Turning to cash due to the priority we placed on driving cash collection across the firm. Our operations generated funds from operations have $115.3 million for the quarter bringing funds from operations in fiscal 2016 to $389.6 million or $3.86 per share. We ended the year with a DSO of 77 comparable to last year and better than our initial target. In 2016, we invested in growing the business to acquisition which were financed using our balance sheet. As we generated more EBITDA we were able to maintain our net debt EBITDA ratio at 1.7 times. With access to $746 million in cash and available credit facilities we have the flexibility to pursue our growth strategy and quickly react to any opportunities that might arise. We also declared a dividend of $0.375 per share to shareholders on record as at December 31, 2016 which was paid on January 16, 2017. 56.2% dividend reinvestment plan participation, the net cash outlay was $16.7 million. I'd like to reemphasize that our continuing commitment to pay quarterly dividend should not in any way impact our plan growth strategy for either organic or an acquisition standpoint. Our focus will continue to be on investing in growth sectors and regions that will promote organic growth and sustain our market leading position. All in all we have delivered, and in some cases over delivered on our 2016 outlook in terms of net revenues, adjusted EBITDA, tax rate, DSO, amortization of intangibles related to acquisitions and net debt to adjusted EBITDA. We ended the year off on capital expenditures and slightly off on acquisition and integration costs. I'd like now to take a few moments to discuss our outlook for 2017, which is aimed at assisting analyst and shareholders and refining their perspective on our performance. This outlook has been prepared based on the foreign exchange rates effective yesterday February 28. Also we have not considered, I repeat, we have not considered any business combinations, dispositions, mergers, or any other transactions that may occur after today’s date. For the coming year we anticipate organic net revenue growth on a constant currency basis in the 1% to 4% range. As you update your models please do keep in mind that in the first half of 2017 specifically the first quarter, will benefit from one additional week of operations compared to 2016 with the opposite impact for the second half of the year specifically in the fourth quarter of 2017. We anticipate net revenues to be in the $5 billion to $5.3 billion range and our adjusted EBITDA to be between $500 million and $560 million. As in the past, our adjusted EBITDA will be subject to seasonality. Quarterly adjusted EBITDA will therefore range from 20% to 30% of the total annual adjusted EBITDA. Turning to tax, we expect our effective tax rate for fiscal 2017 to be in the 27% to 29% range. DSOs remain broadly stable in the 80% and 85% range. We also expect amortization of intangible assets related to acquisitions to be between $65 million and $75 million, while capital expenditures should range between $120 million to $130 million, representing approximately 2.5% of net revenue. These capital expenditures will allow us to address initial integration opportunities, and initiatives anticipated in real estate and information technologies. In 2017, we’ll continue to target a net debt-to-adjusted EBITDA ratio ranging between 1.5 times to 2 times. With that target, we will have sufficient resources to invest in organic growth initiatives and acquisitions, while at the same time having the additional capital to deliver a strong return to our shareholders. Lastly, we anticipate between $15 million and $25 million in acquisition and reorganization costs, mainly driven by real estate optimization. This initiative is the result of acquisitions made in the past two years. Global corporate costs are another element of interest. For 2017, we expect Global Corporate costs to range between $53 million and $63 million, an increase over 2016 due to the creation of the CEO Global Initiatives Fund. As Alex mentioned over the past few months, the fund's main purposes will be to first increase interactions between operating segments, in order to generate additional revenue via cross-selling between business services, and secondly, to invest in talent, recruitment and training. We also expect higher costs related to our debt, based on performance levels and employee retention programs. Alex will now comment on the operational outlook for each of the regions. Alex?
Alexandre L’Heureux: Thanks, Bruno. Let’s start our 2017 operational outlook with Canada. As mentioned earlier, this year we were very diligent about rebalancing and preparing the operation for the next growth phase. As such in 2017, the focus will be on improving adjusted EBITDA margins before Global Corporate costs. We believe that the right headcount with a solid and stable revenue base should translate into greater efficiencies, enabling the Canadian team to be in a much stronger position, once the national economy regains traction, and infrastructure programs accelerate. There are strong growth opportunities for us in Canada beyond 2017, and we anticipate that organic net revenue growth will be flat to slightly negative in 2017. In the U.S. market tailwinds are anticipated to provide a solid base going forward. The transportation pipeline increased last year, supported by a accommodation of the FAST Act and growing state and local specific transportation funding initiatives, that created positive momentum. This was further enhanced by over $200 billion in infrastructure related ballot initiatives approved by voters across the country last November. In addition, states continue to diversify and enhance their revenue stream, and recently implemented gas tax increases to support transportation investment. Today, we are the Canadian Company in our industry, generating the highest amount of transportation revenues in the US. In addition, given our long standing history and relationship at both the Federal and state levels, we believe we are uniquely positioned to take advantage of these positive trends. We expect mid single-digit organic growth in net revenue for the Americas region as a whole. Furthermore, we have not taken into consideration the potential impact of any measure discussed in yesterday's address to US Congress by President Trump. Turning to Europe, EMEA as a whole is also expected to deliver mid single-digit organic growth in net review for the year. The outlook in the Nordics remained robust, and we expect the region to deliver good results in 2017. Our Swedish, Norwegian and Finnish operations continued to gain market share, and we anticipate mid to high single-digit organic growth for the region as a whole. The UK economy is set to keep expanding at a moderate pace in the upcoming year, mostly driven by continuing growth in our core sectors i.e. transportation infrastructure and property and building. Despite the political uncertainty associated with Brexit, government initiatives are expected to continue to provide positive momentum in 2017 and we believe we are well positioned to capitalize on opportunities. We are thus anticipating mid single-digit net revenue organic growth for the year. Lastly, difficult economic conditions are expected to persist in the Middle East and South African region leading us to forecast negative organic growth for these two regions which represent less than 7% of our 2016 net revenues. APAC as a whole is also expected to deliver mid single-digit organic growth and net revenue for the year. Our Australian operation are expected to continue to build on their strong performance in 2016 as the pipeline remained strong specifically in the transportation market. We anticipate mid to high single-digit net revenue organic growth for the region in 2017. In Asia, China's property sector is expected to remain challenging. Singapore and Malaysia are expected to deliver solid results as major infrastructure projects should materialize in 2017. Effort is made to rebalance our portfolio from the private sector to the public sector. All in all, we anticipate flat to low single-digit positive organic growth in net revenue for our Asian operation. Before we open the line for question, I would like to give you a brief update on our M&A strategy. As often mentioned in the past, M&A is a key element of our growth strategy and we intend to be an active, but disciplined player in our industry. We will continue to focus on identifying possible targets both private and publicly listed across various sectors and geographies ensuring that strategy and culture are in line with ours. With a 1.7 time leverage ratio and $746 million in cash and credit facilities available for acquisition and the ability to take on additional debt, we are confident that we are in a position to quickly react to opportunities as and when they arise. What our priorities in terms of geographic regions or sectors. The U.S. clearly remains an important market for us. We have also mentioned our interests in Australia and Europe particularly the Nordics and Continental Europe. From a sector perspective, our attention remains on our existing end markets including buildings, transportation and environment. We also contemplate expanding our expertise in the water and energy sectors. We believe in the strength of our business model, which is based on technical excellence as well as our geographical and sector diversification. We also think that we are uniquely positioned to partner with the finest contractors and architects around the world helping clients deliver superior value project. By pursuing this pure play professional services model, we strongly believe we will continue to deliver the best shareholder value for investors. In conclusion, we will remain focused on driving global organic growth and improving margin, leveraging our global know how and winning work while pursuing our long-term growth strategy focused on our technical expertise thus being optimistic for 2017. We therefore reaffirm our 2018 strategic ambitions. Now let's open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Mona Nazir of Laurentian Bank. Please go ahead.
Mona Nazir: Good afternoon and thank you for taking my questions.
Alexandre L’Heureux: Hello, Mona.
Mona Nazir: Thanks. Firstly, I just wanted to touch on the margin profile of the different geographic areas. I see that Americas and Canada has come down on EBITDA margin perspective, while APAC and EMEA up. For the Americas region specifically in the MD&A you discussed some R&D tax credits from last year, profit sharing recognition and also some provision in Latin America. I'm just wondering stripping these three items out, could you comment on the variance or the margin profile kind of year-over-year because I see there was a drastic drop just if we normalize for those items or even commenting on the margin profile going forward in the Americas?
Alexandre L’Heureux: Well, it's really difficult every quarterly call and then I'm try to cautious and recommend our investors and analysts not to draw any conclusion from any given quarter I am always asking and strongly recommend that we look at the trends of the business and look at on an annual basis how the company is performance, I'm pleased with the results simply because since the merger of Parsons Brinckerhoff and WSP the first time that we are now delivering on an annual basis results and margins are above 10%. So you can see that it's headed in the right trajectory. And clearly from one quarter to the other there will be some item that would consider ordinary course of business. So R&D tax credit we were transparent and talking about them but the reality is that it's ordinary course of business and taking provision in Columbia because a client went bankrupt unfortunately it's part of the business. And that's why we don't treated as an extraordinary item. So the good news and the bad news must go into the numbers and that's why I mean I'm not going to start bridging and reconciling items one-off items here and there to come up with a normalize our margin profile. I think I'm looking at the year as a whole and you know we are improving the margin consistency over the last two to three years and have it quite clear about. I think the average over the last two years actually, you'll find that was around 14.6% and you know I think it's probably better that you take a view on a year or two to really normalize your margin profile.
Mona Nazir: Okay. And just the second component of that kind of margin profile question. And you are targeted north of 11% kind of exiting 2018 as per your strategic plan and you’ve stated that still stands. Your midpoint kind of guidance range for 2017 is about 10.4%. So I am just wondering the 10.2% currently you did the North of 11% in two years, where are your thoughts on that expansion? Is it primary or largely Canada or across the board?
Alexandre L’Heureux: Well, first of all I mean if we look talk the outlook, I’d be extremely surprised if we hit the midpoints on every single metrics. Some will be higher, some will be lower, so the reality is that's I mean juristically we can think the midpoints on net revenue and midpoints on EBITDA and midpoints on this and midpoints on that and come up with a margin profile, but the reality is I'm pretty certain that this will be inaccurate. In the sense that we're not going to be straight in the middle on all of those metrics. As I said some will do better and the range and some others may do not as good in the range. So I'm not ready yet to conclude what will be the exact margin profile at the 2017 we'll see but what I can say though is that we are expecting an improvement. That's the expectation. And then the second part of your question, I think it's all of the above I mean we need a good contribution of Canada and I said it in the operational outlook we are hoping for Canada to improve its margin profile in 2017 and frankly the mission for Canada this year is to do better on that front. But also in other parts of the world okay, but conversely there are other countries where it will be a little bit more challenging I talked about South Africa and also the Middle East. So the 11% we spend by it we're still early in that, we are still only with midway through the strategic plan we only have two years done out of four and it also we'll see how it goes.
Mona Nazir: Okay. And just I wanted to touch on kind of revenue synergies. You've made some significant moves and consolidating the market you've done a transformational large acquisition almost every year. And now that you are kind of the number one pure play design from can you speak about the evolution of the revenue synergies and how you see that going forward as you at this upper echelon level and just even your discussions with clients and working with them in different geographies and verticals? How that is evolving?
Alexandre L’Heureux: Well, again it's headed in the right direction. I must say that 2015 was a year of discovery between Parsons Brinckerhoff and WSP. We need to remember that these were two large professional services firm, 15,000 and 15,000 at the time of the merger. So really it took a good 12 months to 18 months to really like organizing the business in such a way that we can now have people collaborating together. And certainly in 2016, we're seeing some of that and great lengths and I gave an example – a perfect example would be that when that I talked about that earlier on today between and they were done between our US Transportation team our Middle East and Asian team together to win this Kuala Lumpur and Singapore project. This would have never happened to three years ago. So I do feel that now the teams are working extremely well together and it bodes well for the future. So that’s all I have to say on that front.
Mona Nazir: Okay, thank you. I’ll step back in queue.
Alexandre L’Heureux: Thank you.
Operator: Your next question comes from the line of Mark Neville of Scotiabank. Please go ahead.
Mark Neville: Hi, good afternoon everyone.
Alexandre L’Heureux: Hello.
Mark Neville: Just on the provision in Latin America, can you just maybe give us an idea as the size of that?
Alexandre L’Heureux: Couple millions.
Mark Neville: Okay. Just on the revenue guidance for 2017, I mean if I take 2016 numbers, as we show on some of the other smaller deals. I’m just having a bit of a harder time getting to the top end of your range, just to put the organic guidance you gave. So just few questions, what currency rates are using in that and just maybe the revenue contribution from the acquisition in Norway? I don't think I have that number.
Alexandre L’Heureux: For use we use yesterday closing rates, yes. And I'm sorry I missed the first part of your question, I'm sorry.
Mark Neville: Second part yes, just the acquisition in Norway. I won't get the name right, higher senses. Yes, the revenue contribution from that, I don't have that.
Alexandre L’Heureux: Yes it’s a very small company. So the contribution would be 100 employees. So it would be very small and very tiny.
Mark Neville: Okay. Just in the UK business, you're still talking pretty possibly about that. Just curious as to what your backlog, how much visibility you have for the business? I mean can you see sort of through the rest of this year?
Alexandre L’Heureux: For the UK you said, I am sorry I missed that.
Mark Neville: Yes.
Alexandre L’Heureux: The line was that I think we have as I said before we finished the year on a good note. And over the years, we were able to diversify the business and that that's a big plus clearly if you look back from five years ago, most of our revenue were generate in the private sector and now we have a more balanced portfolio between large and smaller size projects, but also between the private and public sector. So we do feel that now we have a much more resilient business in the UK, not that we didn't have a good business in 2012, but I think the effort that we've put in over the years. I think will be paying off in the future because now we have a good resilient business in the UK and I don't know exactly what the UK government will be doing in the next few years, but we our collective views is that there will be a lot of great opportunities in the public sector, but also in the private sector to do well in the UK. All right, thanks. I'll get back in queue.
Operator: Your next question comes from the line of Yuri Lynk of Canaccord Genuity. Please go ahead.
Yuri Lynk: Hi, Alex.
Alexandre L’Heureux: Hi, Yuri, how are you?
Yuri Lynk: Very well, thanks. What are you seeing right now Alex in the Canadian infrastructure market? Any update on the long delayed Federal stimulus or provincial stimulus in some cases and given the really robust market you're seeing in Australia I mean is there any parallel you can draw between what it's what Canada looks like now compared to Australia in the lead up to the boom? I mean do you think you have enough visibility that 2018 should be a better year, revenue wise?
Alexandre L’Heureux: It's – Certainly the intention, Yuri, absolutely. But it is difficult to draw parallels, but it is true that it is fair that the two countries are similar resource based countries, and also the P3 driven markets and design-build driven markets, so it’s true that you can draw some parallel. Having said all that, it’s difficult to draw parallel around their economies and how it's going to happen, but I'd say my short answer to this is Canada, I may have mentioned that the last quarter would be an important year for Canada. We've right sized the business. Lots of work would be bid this year, will be RFP this year, so it's an important year for the WSP. And if we win our share of work in 2017, I'm obviously optimistic for the long-term prospects of Canada.
Yuri Lynk: Has the market conditions in Canada changed at all since you last updated the market?
Alexandre L'Heureux: Look, I'd say that it’s a more stable environment certainly for WSP, so we feel that in Western Canada we are operating in a more stable environment. I'm not saying that everybody is out of the wood yet. I wouldn’t argue that, but it's a more stable environment in Western Canada. And as I said before, we will be busy in 2017 bidding jobs and bidding projects. So there is a certain level of activity going on in Canada and that we need – as a team we need to take advantage of it. 
Yuri Lynk: Okay. I just want to switch to your M&A strategy. I would be curious to hear if the rapid increase that we've seen in public company valuations is being mirrored in some of the private targets that you're looking at, what are you seeing in terms of asking prices compared to say a year ago?
Alexandre L'Heureux: It's a good question. I'd say that it is true that clearly it’s factual that the publicly listed company we've seen that around the world and the valuation have gone up. I won’t say that it has fully translated into the private held companies. I mean it depends really where you look, so for instance in the Nordics that historically what we've seen and certainly over the last two years, the companies under the recent transaction that are taking place traded at a higher multiple and another places. So it’s difficult to make a general statement around the world, but there are some places where there's a bit more competition and the Nordics is one of them where we've seen a slightly higher multiples or increase in multiples recently.
Yuri Lynk: Okay. I'm going to turn it over. Thanks.
Alexandre L'Heureux: Thank you.
Operator: Your next question comes from the line of Jacob Bout of CIBC. Please go ahead.
Jacob Bout: Good afternoon. I had a couple questions which are organic growth guidance of 1% to 4%, maybe just walk us through the thinking behind what the bigger drivers of the low-end of the high-end of the guidance? And then secondary question here about the – it looks like you're more positive for the second half of the year for Canada and really what's driving that? Is that just more commodity prices or?
Alexandre L'Heureux: Well, generally speaking we typically always have a better second half just seasonality in the first half, so that's the first answer. And the first part of your question was, clearly we do expect Canada to do better this year than the performance we had last year, so that's a given. I mean that's our expectation. We do hope that we’ll do better in 2017 that we've done in 2016, but I'd say that generally speaking and that's – I try to play for you in my operational outlook earlier on how we think about the business. U.S. should have a good year this year. Finger is crossed. I believe the UK should also have a good year this year. The Nordics has been very resilient for the last decade, so I think we expect still the Nordics to remain quite robust. Australia, I mentioned it before, Australia was a great surprise for us in 2016 and we hope that we can capitalize on this in 2017. And Asia, I mean, obviously as I said before it was a volatile environment in 2016. It was difficult to predict exactly what would happen, but Asia, I mean had a very – I’d say a very decent year by all standards and I'm pleased with the performance of the management team in Asia, and I expect a similar performance this year. But I also said that the Middle East and South Africa even though they represent less than 6%, 7% of our total net revenue it will be a bit of a drag and that's why we provided the positive outlook of 1% to 4% on organic growth.
Jacob Bout: If I understand you correctly then the big swing is primarily Canada and Asia in your mind?
Alexandre L’Heureux: No not necessarily I mean in a global business like ours, you're always going to have good surprises and not so good surprises it's always the case. And so I expect this year will not be different than last year I think we're going to have countries that will be surprising us with good solid performance and others that may be struggling a bit more given the market the volatility that we operate in right now. So yes, Canada yes, but I mentioned also a couple of other countries that I expect will do well and better potentially than last year. And that's why I expect fully better and then what we delivered in 2016.
Jacob Bout: The last question here, clearly pretty positive on U.S. infrastructure maybe talk a bit about what you're seeing from the ballot initiatives, but also in California. I think half of the 51 projects we talk about that $140 billion in for list was transportation related maybe talk a bit about how your position for that?
Alexandre L’Heureux: Look if I'm not - if my memory is not failing me, we work with directly or indirectly on 22 of those 50 projects that were highlighted. So I'm not but at the same time you know it says that those projects and priorities that the federal government are putting forward may change tomorrow. So all I can tell you is that you know out of those projects that were highlighted we work on the good number of them be working direct or indirectly but it's difficult to predict exactly what the government will do.
Jacob Bout: Thank you very much.
Alexandre L’Heureux: Thank you.
Operator: Your next question comes from the line of Frederic Bastien of Raymond James. Please go ahead.
Frederic Bastien: Good afternoon, guys.
Alexandre L’Heureux: Hello, Fred.
Frederic Bastien: You acquired Parsons Brinckerhoff at a time when there Australian business was suffering and I'm going to restructuring. The business performing a lot better as you noted, but I was wondering whether it is operating to its full potential yet. I just wondering if you could comment on that please?
Alexandre L’Heureux: Frederick the answer is I hope not we always tries to do better. So absolutely I think you know we hope that Australia will continue to improve margin profile. And we continue to do well in the marketplace and aim at that stealing market share I mean so of course very please with the work that’s gone and by the team. Overall I think the Australian team has done extremely well and was supported by the group and we've worked extremely well together and I'm very happy if that journey that the Australian business has gone true, but I do hope it at the end now.
Frederic Bastien: I know whether you think is that a tough questions, but is it at 70%, 80% of its potential from where it was before?
Alexandre L’Heureux: So it's a really hard question to answer Frederick. All I can tell you is that in our plan. We expect Australia to do better than they've done last year. That's our ambitions but we do expect frankly all countries to do better in the previous years. So it's really difficult to comment on this. And tell you we answer any 80% and there are clearly some end market right now that are not operating at their full potential. I'm not going to name those, but I can tell you that there are some end markets in Australia could do better. And that we're working on that right now.
Frederic Bastien: Okay. Perfect. Just one more for me as wondering if you could provide an update on the CO Global Initiatives fund that you created last fall and any uptake from there?
Alexandre L’Heureux: A couple of initiatives I mean we are pursuing I'm not going to get into the details, but you know we are for instance putting together at PM University or Project Manager from around the world where you know we believe that the best way to generate organic growth is to train are most talented project managers because they can make the difference and they are client facing and they are the one interacting with our clients. So we consider this to be an organic growth initiatives and then that's training, but on tunneling on the healthcare and healthcare we are right now looking at we have clear focus strategy around a couple of end market and sub end markets where we want to do better than to do more because we believe globally there is a real opportunity for a number of our countries to team up together and work on those initiatives together. So I'd say that it's early days. As you know we started this late last year, but it is progressing.
Frederic Bastien: Thank you.
Operator: Your next question comes from the line of Benoit Poirier of Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Hi, good morning, Bruno. Good morning, Alex. If you come back on your margin you mentioned good color about the Canada, the fact that you still expect to improve the EBITDA margin for Canada in light of the restructuring that you’ve done. If we look at the other, you also remain positive, but we're do you see the strongest upside on the margins per region going through 2017?
Alexandre L’Heureux: It's. Look I mean we operate Bruno and then a number of different jurisdiction, and as I said before I think it's tough when you look at this as where we’re going to gain 40 basis points, where we’re going to loss 40 basis point, where we’re going to gain another 60 basis points there and 70 basis points. On the aggregate what I’m saying is I do believe and we are certainly working with the intention of improving the margin profile on the aggregate globally. And hopefully we're going to continue with the Mouchel acquisition to improve the margin profile of Mouchel for instance and continue to work with Australia to do even better. There are certain end market, I'm sure and the U.S. that we can always improve. So it's not one that it's not one single place that I believe the improvement will come from. But as I said before, there are other countries where I do expect margin contraction. I've talked about South Africa. I've talked about in the Middle East. So that's why I'm saying it's a – I think it’s a benefit of global diversification and geographical diversification is I do expect some countries to do better. But at the same time, there are some other countries that are having a hard time right now and we need to monitor that closely and then mitigate the risk as we can – as much as we can to finish the year with a better margin profile than 2016.
Benoit Poirier: Okay. And just looking at the oil and gas market, it’s a much lower percent in terms of your overall revenues, could you give an update on what do you see in terms of opportunity especially focus for 2017 and 2018?
Alexandre L’Heureux: As I said before I do feel that the, you know we collectively at WSP. We do feel that Western Canada is operating right now in a more stable environment than that where we were 12 months ago. If you recall last year and I remember our Q4 call last year, last year I said don't expect much from the federal funding in the stimulus plan and we do expect that Western Canada will be a challenging for 2016 and that's really exactly what happened. Today what I'm saying is that we feel internally that Western Canada with Oprah writes in a more stable environment right now. We out of there would be at that over, no. But I think we are in a better place than we were a year ago.
Benoit Poirier: Okay. And just looking at free cash flow obviously a very good conversation for 2016, I'm just wondering if you could provide more color about 2017 in terms of free cash flow conversion. Are there any big items in terms of working cap we should be aware off? Thanks.
Bruno Roy: No, Bruno here. Thanks for that question. As usual we will be shooting for a conversion of over 100% and as of now no material cash flow as I just mentioned.
Benoit Poirier: Okay. Thank you very much for the time.
Bruno Roy: Thank you.
Operator: Your next question comes from the line of Sara O’Brien of RBC. Please go ahead.
Sara O’Brien: Hi. Good afternoon.
Alexandre L’Heureux: Hello, Sara.
Sara O’Brien: Just wanted to come back to the Americas for Q4, year-over-year I understand there were differences, but if we look even quarter-over-quarter there was about $30 million less EBITDA despite higher revenue. So I’m just wondering was it sort of an issue of percentage of completion that it had to be reversed or was there any other sort of large ticket items that would explain that difference in Q2, Q3 to Q4?
Alexandre L’Heureux: Last year, Sara was clearly a more challenging year for the U.S. business than it is this year. I mean that's a simple answer. I mean this year the U.S. business experience a strong performance and good performance and last year was more challenging for the U.S. business, but I think I mentioned this before in earlier calls, we won a good number of good projects towards the end of 2015 and I believe we benefited from this in 2016.
Sara O’Brien: Okay. And maybe just looking at the margin improvement strategy into 2017, so my understanding a lot of it was kind of gross margin focused for 2017 and then maybe SG&A focus for 2018. Can you just comment on how and what the environment is for pushing through better gross margin with your internal initiatives this year, how you feel that's going to play out relative to SG&A just to get that EBITDA margin improvement?
Alexandre L’Heureux: It’s just about focus, Sara; by the way we're not just looking at operating margin for instance in 2017 and focus on SG&A in 2018. I think it's a constant effort and they're not made in sequence, they're made in parallel those efforts, so we have a team working on SG&A and we have a team making sure, and our Chief Operating Officer, Paul Dollin is really much focusing on operating margin, and that's our job. So as I said before in order to increase your margin profile you need to operate in good geographies. And I believe, overall I like our geographical footprints like our end markets, so I think you need to help the market in order to improve the margin profile. But also internally, I mean you continually need to put initiatives together to improve the way you conduct business and that's what we're doing, that's what we've done in 2016 and that's what we'll continue to do in 2017 and 2018 is really how can we improve margin profile in certain end markets and in certain countries. Because as I said earlier on to an earlier question there are some end markets in certain part of the world where I know we're not working to our full potential and we can do better. So we need to focus on these, but it's not one or two big initiatives that will drive the improvement is a number of small initiatives that will make a difference.
Sara O’Brien: Okay. I was just going to ask on the SG&A though, if we think about the rebranding initiative, is that material or is that really not a significant impact to the margin overall?
Alexandre L’Heureux: It is implied in the guidance that we've provided, so it's included in it, so it's not – the guidance we provided to you includes this rebranding effort.
Sara O’Brien: Okay. I'll leave it there. Thanks.
Alexandre L’Heureux: Thank you.
Operator: Your next question comes from the line of Michael Tupholme of TD Securities. Please go ahead.
Michael Tupholme: Thanks, Alex and Bruno.
Alexandre L’Heureux: Hello, Michael.
Michael Tupholme: Most of my questions have been answered. I really just have one I guess at this point. Alex wanted to go back to something you had mentioned at the tail end of your prepared remarks when you’re commenting on M&A and you suggested that that you maybe looking at expanding in energy, I was wondering if you could just elaborate a little bit on that in terms of – are there specific types of activity within energy you're looking at and you feel that you're missing right now in other specific regions you're looking at.
Alexandre L’Heureux: Yes. Well I want to be clear on this. I mean around the world we have a strong expertise in energy, renewable energy, power transmission distribution. So it's not something new it's always been part of our strategy if we can expand in those key strategic and markets we would like to be opportunistic and do it. So certainly something that we would look to do and so it should be taken out of context it's nothing new. Our core end markets have always been transportation infrastructure, building - property and building environment and energy. So we will continue to try to expand that where possible.
Michael Tupholme: Okay. And I mean I realize from what you just indicated there in energy is somewhat of a broad category, but oil and gas specifically anything where energy is oil and gas in area of interest for expansion through M&A at this point for you?
Alexandre L’Heureux: At this point, that the way I would answer this is it's not top of mine now.
Michael Tupholme: Okay. That’s all for me. Thank you.
Alexandre L’Heureux: It's not top of mine at all no.
Michael Tupholme: Okay. Thanks.
Alexandre L’Heureux: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Maxim Sytchev of National Bank Financial. Please go ahead.
Maxim Sytchev: Hi, good afternoon, gentlemen.
Alexandre L’Heureux: Hello, Maxim.
Bruno Roy: Hi, Maxim.
Maxim Sytchev: Just a quick follow-up in relation to M&A strategy and Alex you mentioned Continental Europe was just wondering if you can maybe elaborate more about why you see this region as attractive from an acquisition perspective?
Alexandre L’Heureux: Because there are some economies where we have very small presence. So for instance if you were as I am going to pick an example we were to have a very small presence in Germany, but Germany is the largest economy of Europe. So certainly that that would be an area that in my mind we would need to explore in the future. So that's what I meant by Central Europe, but there's nothing in they really need to explore those markets but you know Spain is there is a market where there are very fine good pure plane design firms. The Netherlands we have no presence and the small presence in France, no presence in Switzerland or very small. So there are number of countries that we could expand and that frankly we would need to explore further before make a decision.
Maxim Sytchev: Okay. That’s helpful. And actually start to [brush] here with M&A questions, but in terms of Nordics I mean correct me if I'm wrong you already the lead engineering firm in Sweden and then Norway have a very strong positioning. So what else is there to buy?
Alexandre L’Heureux: We are just correcting on this I mean and we are a leading firm. So there are three large engineering firm that are leading the Nordic the Swedish market and we are one of them. So we have a very good position and then Sweden. And we're pleased with that. But you know we could also grow we have that very small presence in Denmark, but we have a presence that we will want to grow we already have a presence in Norway, but in the future if we could grow Norway would like to grow Norway. We have a good presence in Finland but if we could grow Finland I think we would like eventually perhaps to look at Finland as well. So I do feel that there is some room for growth in the Nordics and there's no doubt in my mind.
Maxim Sytchev: Okay. Excellent. That’s very helpful. That’s it for me. Thank you.
Alexandre L’Heureux: Thank you.
Bruno Roy: Thank you. End of Q&A
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Alexandre L’Heureux: Well, thanks everyone for attending the call and we look forward to updating you as we progress in 2017. So thank you very much.
Bruno Roy: Thank you.